Operator: Welcome to the First Quarter 2016 Crocs, Inc. Earnings Conference Call. My name is Jason, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. And please note that this conference is being recorded. I will now turn the call over to Brendon Frey. Mr. Frey, you may begin.
Brendon Frey - Managing Director, ICR LLC: Thank you. And thank you, everyone, for joining us today for the Crocs' first quarter 2016 earnings conference call. This morning, we announced our first quarter 2016 financial results. A copy of the press release can be found on our website at crocs.com. We'd like to remind everyone that some information provided in this call will be forward-looking and accordingly, are subject to Safe Harbor provisions of the Federal Securities Law. These statements include but are not limited to statements regarding future revenue and earnings, prospects and product pipeline. We caution you that these events are subject to a number of risks and uncertainties described in the Risk Factors section on the company's 2015 report on Form 10-K filed on February 29, 2016, with the Securities and Exchange Commission. Accordingly, all actual results could differ materially from those described on this call. Those listening to the call are advised to refer to Crocs' Annual Report on Form 10-K, as well as other documents filed with the SEC for additional discussions of these risk factors. Crocs is not obligated to update these forward-looking statements to reflect the impacts of future events. The company may refer to certain non-GAAP metrics on this call. Explanation of these metrics and reconciliations to the nearest GAAP metric, can be found on the earnings release filed earlier today and on our investor website, once again at crocs.com. Joining on the call today are Gregg Ribatt, Chief Executive Officer; Andrew Rees, President; and Carrie Teffner, Executive Vice President and Chief Financial Officer. Following their prepared remarks, we will open the call up for your questions. I'll now turn the call over to Gregg.
Gregg Ribatt - Chief Executive Officer & Director: Thank you, Brendon, and good morning, everyone. Today, we announced our first quarter 2016 financial results. Revenues were $279.1 million, above our guidance of $260 million to $270 million. And net income available to common shareholders was $6.4 million. Revenue was up 6.5% on a reported basis, and up 9.2% on a constant-currency basis, versus the first quarter of 2015. Overall, we delivered a strong first quarter, which demonstrates the meaningful progress that we've made in repositioning the Crocs' brand and business over the past 21 months. This morning, I will touch on a few highlights of the quarter, and then Andrew will dive deeper on some of the key actions that we are taking. And finally, Carrie will walk you through the detailed financials and discuss our outlook. In the first quarter, we saw five key indicators of our progress. First, importantly, the Americas grew 19.5% on a constant-currency basis, we experienced growth across all Americas distribution channels, a significant wholesale and e-commerce growth was coupled with modest retail growth. As our biggest region and the one closest to home, we believe this growth is indicative of the progress that we have made. Second, we saw direct-to-consumer or DTC comp sales increases in each region. Strong double-digit e-commerce growth in every region was backed up by positive retail comps, with North America retail comp store sales turning positive for the first time in 10 quarters. Third, we sustained and leveraged a lower operating cost structure as adjusted SG&A as a percentage of revenue was down over 400 basis points, while $1.3 million of this was timing of the marketing activities, shifting from Q1 to Q2. We continue to see the benefits from the restructuring initiatives executed over the past 21 months. Fourth, I'm happy to communicate that our supply-chain execution and on-time delivery performance have substantially improved. Our Q1 delivery performance was our best-shipping trend in many years, resulting in earlier deliveries as compared to last year. And I'm pleased to say that second quarter delivery performance is continuing at theses significantly improved levels. And finally fifth, we've made significant improvements in our inventory management processes. Inventory was up only $1.4 million or less than 1%, compared with sales growth of 6.5%. Over the past 21 months, we've built a strong team, we've simplified and strengthened core processes, elevated our product line, and enhanced our go-to-market approach around the globe. As we proceed in 2016, we believe our financial performance will increasingly reflect the benefits of these significant improvements. Despite having more work to do, we're off to a good start as evidenced by solid Q1 performance. And we remain confident, that we're on track to further transform the Crocs brand and business, and achieve both our full-year and future sales profit – sales and profit objectives. And now, Andrew will highlight some of the key details of the quarter.
Andrew Rees - President and Principal Executive Officer: Thank you, Gregg. Today, I want to update you on four key topics, one global DTC performance; two, our turnaround in China; three, current product line performance; and four, the sale of South Africa. Firstly, global DTC performance, global direct-to-consumer revenues were up 5.9% on an as-reported basis, supported by strong DTC comp sales, which were up 9.9%. This is our fourth quarter in a row of delivering positive DTC comp growth. Our e-commerce business was strong across all regions led by the U.S. and Asia. Overall, global e-commerce revenue growth accelerated by 31.9% on an as-reported basis and 34.3% on a constant-currency basis. Our e-commerce business continues to benefit from our new product line and better channel execution, including enhanced digital marketing efforts and a commitment to better in-stock positions on core product. Retail comps were up 3.1% in the quarter, with all regions reporting positive comps. Importantly, comps in North America were positive for the first time in 10 quarters. These results reflect positive consumer response to our new product line, strong end-of-season sales in January, and our continuing efforts to improve retail processes and systems. Specifically, we enhanced assortment strategies, brand storytelling, improved replenishment and in-stock positions, and elevated consumer experience. Having completed the bulk of our store closings, we continue to fine tune our retail portfolio, eliminating underperforming stores, while selectively opening new stores. In the quarter, we closed 15 stores and opened six stores, five stores of which were in Asia, bringing our Q1 global store count to 550 stores. The net change in store count did not have a meaningful impact on our consolidated financial performance during the quarter. Secondly, turnaround in China. As we discussed on our last call, we've been in active discussions with our challenged distributors. I'm pleased to share that we reached agreements with several of these distributors. Over the next few months, we'll be replacing certain retail locations currently managed by some of our challenged distributors with new company-owned retail operations, as well as shifting certain territories from trouble distributors to stronger existing distributors. We are tracking to have our issues with these challenged distributors resolved by the end of Q2, which will allow us to focus on driving sustainable growth in this key market. This progress gives us confidence that we'll return to growth in our China business in the back half of 2016. Thirdly, current product line performance. As you know, our spring/summer 2016 product was the first developed by Michelle Poole and her team. While early in the season, this product has been well received with replenishment orders up approximately 20% in Q1 versus the first quarter of 2015, and retailer feedback remains extremely positive. Our purest view of the performance of 2016 today comes from our own DTC business, while we can see some very positive signs across a number of initiatives. By rationalizing our core clog assortment, we have driven approximately 20% growth into our go forward anchor styles including Classic and Crocband. This allows us to consolidate volume across fewer SKUs, maximizing margins and simplifying our supply-chain execution. In addition, a made for her clog style led by Freestyle and a made for him, Duet Max, have seen strong overall performance. Swiftwater, a key collection that's currently focused on men's and kids, have seen exceptional growth over last year, with greater than 600% revenue growth driven by expansion of the collection and strong sell-throughs. In 2017, we'll expand Swiftwater to women's and continue to build this franchise across men's, women's and kids. Sanrah, a collection of embellish sandals has seen strong early season performance, especially with the mini wedge silhouette. And licensed product continues to perform well across Star Wars, Frozen and Realtree. More broadly, among the areas that are working best are new molded silhouettes, seasoned and trend-right colors, and enhanced graphics. Our new product generated over 40% of global revenues in Q1, with two of our new introductions, the Duet Max Clog and Santa Cruz Luxe, making it into our top 10 selling styles globally. Fourthly, the sale of South Africa. As we discussed last quarter, we completed negotiations to sell our South Africa subsidiary to a licensee. The transaction closed on April 15. Our new licensee will continue to operate the wholesale business, retail stores, and e-commerce. South Africa revenues in our Q1 results was $1.7 million. As we noted in our last earnings call, while this licensed model will result in lower reported revenue, it will provide a greater profitability and lower risk from this market as we leverage our licensees' infrastructure and market knowledge. This change is consistent with our overall strategic plan, and focusing our direct business model on our largest markets, and using best-in-class partners in the rest of the world. Now, I'll turn it over to Carrie to go into the details of our Q1 performance.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thank you, Andrew. Now turning to our financials. Revenue in the first quarter was $279.1 million, compared to our prior guidance of $260 million to $270 million, revenue was up 6.5%, compared to the first quarter of 2015 on an as-reported basis, and up 9.2% on a constant-currency basis. Compared to the first quarter of 2015, currency impact from the stronger U.S. dollar was $7.1 million, and we are lapping the port strike from last year that impacted revenue by $5 million to $10 million. There were no other factors materially affecting the year-over-year comparability of our revenues this quarter. Q1 revenue outperformed our prior guidance in large part due to our wholesale channel, where improved supply-chain execution and delivery performance reduced the number of unfulfilled orders at quarter-end relative to prior year. We believe these improvements resulted in increased revenue of approximately $9 million for the period. Relative to prior guidance, we also benefited from $1.7 million of South Africa sales in Q1 due to the later-than-expected closing up of sale, as well as stronger DTC performance across the business. The timing of wholesale shipments will result in a lighter Q2, but keeps us on track from a half one perspective. All of the revenue results which follow are quoted in constant-currency change versus prior year. In the Americas, revenue was $124.1 million for the quarter, up 19.5%. Wholesale revenue was up 24.7% of which approximately two-thirds was due to the aforementioned delivery improvements in prior year shipping delays, including challenges resulting from the port strike. Retail sales in the Americas increased 3.6% for the quarter, reflecting positive comps of 2.9% and better productivity in the stores opened during the past year. E-commerce in the Americas grew 43.5% and total Americas DTC comps were up 12.2%. In Asia, revenues were $104.5 million for the quarter, up 7.9%. Wholesale revenues were up 9.2%, primarily due to timing of shipments between Q1 and Q2. Retail revenues were up 0.6%, reflecting positive comps of 2.0%. E-commerce sales in Asia increased 27.3% and total Asia DTC comps were up 5.8%. In Europe, revenue was $50.3 million for the quarter, down 7.9%. Retail comps were up 7.5%, but retail revenue declined 4%, compared to Q1 2015 as we had 12 fewer stores as compared to last year. E-commerce sales in Europe increased 15.1%, while DTC comps were up 9.7%. Wholesale revenue declined 10.3% driven by a planned change in the shipping window to better align our product delivery across regions, which shifted some wholesale orders from Q1 to Q2 as compared to last year. We sold 16.3 million pairs in the quarter, a 9.9% increase over last year. The average selling price of our footwear in the first quarter was $16.85, a 3.4% reduction from the prior year, mainly the result of 240 basis points of currency. Adjusted gross margin for the quarter was 46.1%, down 247 basis points from the prior year, primarily due to a negative currency impact of 106 basis points, our successful year-end sale period of January and higher distribution costs. We expect to see sequential gross margin improvement from Q1 to Q2 of approximately 450 basis points, reflecting higher demand for in-season products, partially offset by the impact of currency. As we get to the back half of the year, we expect meaningful improvement in gross margins on a year-over-year basis. Adjusted selling, general and administrative expenses were $114.4 million, down $4.6 million from the prior year. Adjusted SG&A at 41% of sales for the quarter, is down 441 basis points, reflecting higher revenue, combined with savings from our reorganization efforts, timing of marketing expenses and currency. We've realized minimal non-recurring and special charges in the first quarter of 2016. Income from operations was $14.2 million, compared to a loss of $2.4 million in the first quarter of 2015. Turning to the balance sheet at the end of the quarter. We ended the quarter with $89.1 million in cash, and $8.5 million in outstanding borrowings on our credit facility. As a reminder, Q1 is our peak working capital quarter. The company did not repurchase any shares during the quarter, and we ended the quarter with 73.3 million shares outstanding. Inventory at the end of the quarter was $186.1 million, up $1.4 million, or less than 1% from Q1 2015 ending inventory of $184.7 million. Two final notes on the financials. First, adjusted net income attributable to common shareholders was $6.4 million for the quarter after preferred share dividends, and equivalents of $3.8 million. After adjusting for Class A participation rights of $1 million associated with our preferred shares, the weighted average share count used to calculate diluted EPS was 74.0 million shares. Given our ability to deliver more of our spring/summer 2016 orders in Q1, we expect second quarter revenue to be between $340 million and $350 million, compared to $345.7 million last year. This results in our projected first half revenues on a constant-currency basis, excluding the impact of the loss of the South Africa revenue in Q2 to be up mid-single digits. We continue to expect full year 2016 revenue to grow in the mid-single digit range, and EBIT margins at mid-single digits. Now, I'll turn it back to Gregg for closing thoughts.
Gregg Ribatt - Chief Executive Officer & Director: Thanks, Carrie. As I discussed earlier, our performance in the first quarter is a strong indication that the strategic change, we've been implementing over the last 21 months is beginning to take hold, and having a positive impact on the business. While, we're pleased with these results, we still have more work to do. Despite challenges from a strong U.S dollar and an overall choppy macroeconomic environment, I continue to be confident in the direction which we are headed, and our ability to successfully execute against our plans and achieve our goal of sustained profitable growth. Special thanks to the Crocs' team around the globe for all of their hard work, their passion and commitment to unlock the full potential of the Crocs brand and create one of the leading global casual lifestyle footwear companies in the industry. Now operator, we'll open the call up for questions.
Operator: Thank you. We will now begin the question-and-answer session. And our first question comes from Scott Krasik from Buckingham Research Group.
Scott D. Krasik - The Buckingham Research Group, Inc.: Yeah. Hi, everyone. Thanks and good quarter.
Gregg Ribatt - Chief Executive Officer & Director: Thanks. Hi, Scott.
Scott D. Krasik - The Buckingham Research Group, Inc.: Hi. So, couple of questions here. I guess, the first you talked about a $9 million improvement in sales because of being able to deliver on time, you talked about timing shifts helping 1Q wholesale sales in Asia-Pacific. I think, Europe was hurt by a shift in the shipping window for delivery. So, can you just help us understand actually, how much moved around between 1Q and 2Q? And how you sort of view the underlying season?
Gregg Ribatt - Chief Executive Officer & Director: Yeah. Thanks. Thanks, Scott. When we look at Q1 and take a step back, we feel we're making a meaningful progress and beginning to see the positive results of our turnaround efforts. First, there is increasing structural stability in the business, so the things like store closings, and existing lines of business are essentially behind us. Currency impact is moderated, and should continue to do so if the current rates hold. Deliveries are performing well, which is part of the – part of what you're referring to. And the management teams in place around the globe and beginning to make a real impact on the business. So, we definitely did have some tailwind in the business, in the first quarter, the $9 million you referenced which is a combination of improved deliveries and comping the port strike challenges from year ago, but the fundamentals in the business is strong, so if we take a step back and look at the core business, e-commerce continues to grow at a high rate, we saw positive retail comps in every region. And then when you look at wholesale, which was up in a very real way, the timing of first quarter wholesale orders was favorable in the U.S., but unfavorable in Europe, which you referenced. And so, we think net-net, overall, we're – it was a very solid Q1. And as we look at Q2, we do see some moderation of growth as Q1 timing reverses, but we're solidly on track to achieve our objectives and achieve mid-single digit growth for the full year. And our Q1 results, gives us confidence in terms of the direction which we're heading.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And I guess just a follow-up then, you referenced 2Q, the comps obvious are indicative of brand strength, but we are seeing in some of the POS data that we look at that covers family footwear, DSW, some of your key retailers, extreme weakness in 1Q, how do the sell-through that we're seeing in datasets like that, relate to you're still guiding 2Q revs to flat even with some of these timing shifts, how do we reconcile that?
Gregg Ribatt - Chief Executive Officer & Director: Sure. When we look at our Q1 sell-through, we actually feel very positive about the results and they're certainly within our expectations. And while it's early in the season, direct feedback from our retailers and the data that we've received from other external sources shows that our sell-throughs were up in the first quarter, and Scott, it's clearly a different picture than the SportScan data that you're referencing. So, it's clear to us that the disconnect with the SportScan data accurately reflecting the breadth of our customer base. And when we go back and look at our Q1 performance, we feel very good about both our sell-in and our sell-throughs at retail.
Andrew Rees - President and Principal Executive Officer: Yeah. And Scott, just to elaborate a little bit on that. We're seeing some key programs performing well at retail, it's probably to call out number one Swiftwater, mentioned it in the script, but it's a key franchise both in men's and kids, it's performing extremely well. We'll be expanding that as this performing well at our own retail plus also at wholesale. The Core Clog business is performing well, somewhat driven by improved deliveries and in-stocks, but we're seeing nice increases both again at wholesale and in our own retail. And probably most recently, just delivering in the last few weeks is our Isabella program, which is a really high summer sandal program not quite seen the weather for that yet, but it's performing well despite that.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Then I'd like to squeeze one last one in. Carrie, your SG&A was down a few percent on a dollar basis year-over-year, should we expect a similar magnitude in 2Q or are there opportunities to see even more significant decline in SG&A dollars year-over-year in 2Q?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. So, with respect to Q2, we actually have some puts and takes in the quarter. So, we're picking up some additional expense relative to variable comps and those types of things, but that's being offset by some lower bad debt expense. So, we actually expect Q2 SG&A to be relatively in-line with last year. And then, kind of to reiterate, last when we were on the call at the end of the fourth quarter, our full year SG&A is expected to be around $510 million.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. That's great. Thanks very much. Good luck.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Sure.
Andrew Rees - President and Principal Executive Officer: Thank you.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thank you.
Gregg Ribatt - Chief Executive Officer & Director: Thanks, Scott.
Operator: Thank you. And our next question comes from Sam Poser from CRT Capital.
Sam Poser - Sterne Agee CRT: Good morning, everybody. Thanks for taking my question. I just want to follow-up on your gross margin commentary. The last year, you had gross margin of about 55% in Q2. How – you said, you expected 450 basis points improvement on a sequential basis or I mean, which means that your gross margin will still be down, I mean, 500 basis points, 400 basis points...
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yes.
Sam Poser - Sterne Agee CRT: ...in the quarter?
Carrie W. Teffner - Executive VP, Chief Financial Officer: So, that is exactly right, with respect to sequential improvement from Q1 to Q2, which does mean we'll be down year-over-year from a gross margin standpoint. Relative to Q1, we expect the margin improvement to come primarily from better – more in-season sale of products and that will be partially offset by the continue challenge that we have from an FX standpoint, this should mitigate as we get into the back half of the year. And then, we talked in the prepared comments around the back half margin really showing meaningful improvement in the back half driven by less FX headwind, as well as less EOL product specifically as we look at Q4. And then, with that lapping some of those delivery issues that we had last year.
Sam Poser - Sterne Agee CRT: So, I mean, can you give us some idea of how you're looking at gross margin on a full-year basis on a year-over-year, I mean on a full-year (25:39)?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. Absolutely, Sam. Yeah, I'm consistent with where we communicated at the end of the Q4, we really, right at this point, still expect full year gross margins to be in-line with consensus.
Sam Poser - Sterne Agee CRT: Well, can you give us an idea of what percent gross margin you're looking at or the kind of increase you're having from last year or non-increase?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah, so the gross margin on a full-year basis. Last year, it was 47.3% adjusted gross margin. We're expecting 100 plus basis point improvement off of that, and again that will put us relatively in line with where the consensus is.
Sam Poser - Sterne Agee CRT: Okay. Thank you. And then with your – just to make sure, when we look at China, can we get a little more color just you went through it pretty quickly on the breakdown of what your percent of the business there, you're taking in-house and doing yourself versus the consolidated – the changing over to those larger, I guess, more powerful distributors. Can you just give us some more color there, please?
Gregg Ribatt - Chief Executive Officer & Director: Yeah, for sure, Sam. Look, we made a lot of progress in the last three months in China. We've reached agreement with the majority of the challenged distributors and we have a lot of work to do to continue to reshape the business in the future. And as we transition from those challenged distributors, there's two pathways. Some of those territories will transfer to existing distributors, who will operate the stores that have previously been operated by the challenged distributors and some will transition to us. As we looked, we did a comprehensive review of the marketplace city-by-city, province-by-province to really understand where – and our primary model is to continue to operate through partners, but there are certain cities where we believe, it's very financially attractive for us to operate our own stores, where we can densify stores that we already have today and enhance our portfolio and in particular, we're looking to open significant number of outlet stores in China. Go ahead.
Andrew Rees - President and Principal Executive Officer: And Sam, we intend to share a lot more of that detail on our Q2 call, once we've had a chance to finalize a number of these deals and are in a position to do that.
Sam Poser - Sterne Agee CRT: And then lastly, as you talked a lot about South Africa. So that hurts the second quarter, but it will start helping from a revenue perspective, it will start helping the profitability on a go forward basis. And then you have other, I think it's Taiwan and Brazil, where you already have established licensing fees, or distributor agreements there. Are you done with those – after you finished with South Africa, is that the end of those kind of changes or there are other regions where you're still looking to go to third party?
Andrew Rees - President and Principal Executive Officer: Yeah. I mean, as we've been clear about from the beginning, Sam, our strategy is to operate the business ourselves in our major markets, where we have scale and it's financially attractive and in some of the smaller markets to transition to distributors. Yes, you're right: South Africa, the sale of South Africa to a licensee will take the revenue out of our go forward revenues, but we'll be obviously out of license fees, as we go forward, and we think that will be a more profitable model in the future as the current -- as the new licensee gets up to speed. Brazil is a market we operate directly today, Taiwan is a kind of a combination market where we're the importer of record and then we primarily do business through three distributors. Will there be more regional changes? There could potentially be more regional changes over time, but they will be carefully executed.
Sam Poser - Sterne Agee CRT: Okay. And one – I'm sorry: one more last thing. Over the long-term Carrie, the gross margin, I mean, let's say over the next two years or three years, I mean, are you seeing -- do you see the gross margin with the mix and the improved execution and sort of let's say the flattening out of currency -- do you see that gross margin going back into the low 50s%? Is that sort of the kind of target that you have? Is that, I'm just wondering...
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. No, that's consistent with our guidance that we provided at Investor Day back in September, to get gross margins back into the low 50s%. And they're exactly – it's driven by the several other things you mentioned. In addition, specifically as Michelle and her team are actually designing to cost now, that's helping margins with each new line that we bring to market. The improved on-time deliveries, product lifecycle management, and then the outlet expansion primarily in Asia, which gives us a more profitable channel to eliminate end of season product, which is something that's hurt our margins thus far.
Sam Poser - Sterne Agee CRT: I mean, do you see that happening? I mean, do you think you can get there? Do you expect that to happen by next year, or is that something that is another year away? I mean, as given especially the way the gross margin on a year-over-year basis is down a lot in the first half of this year. And on a two-year and three-year stack, the numbers are very low.
Gregg Ribatt - Chief Executive Officer & Director: Yeah. We really see that, Sam, over a couple year timeframe. And we definitely have a line-of-sight to that and are working on – and have confidence that we can get there, but it's more of a 2018 timeframe.
Sam Poser - Sterne Agee CRT: Okay. Thanks very much and good luck.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thanks, Sam.
Gregg Ribatt - Chief Executive Officer & Director: Thanks, Sam.
Operator: Thank you. And our next question comes from Jim Duffy from Stifel.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning. Nice start to the year.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thanks, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Couple questions for you. First, with respect to the China distribution resolution. Where do you stand now? Can you speak to the percentage of the previous China distribution footprint for you which you now feel you have a solution in place? I'm trying to get my arms around what the expected contribution from resuming shipments to populate those retail stores with inventory could be.
Gregg Ribatt - Chief Executive Officer & Director: Yeah, just to stay at a high level for – there's only so much we can share at this point and as I mentioned, we do intend to share more detail at the end of the second quarter. We are actively kind of in process working through those deals and obviously at that point, we'll share the data then, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. But you do expect to begin shipments to those regions in the third quarter?
Gregg Ribatt - Chief Executive Officer & Director: Yeah, so there'll be a number of those regions that we will ship in the third quarter, and then obviously the stores that we are opening will enhance our retail portfolio too.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay.
Andrew Rees - President and Principal Executive Officer: So that gives us confidence for – that we'll see growth in the second half.
Gregg Ribatt - Chief Executive Officer & Director: Correct.
Andrew Rees - President and Principal Executive Officer: Out of China.
Gregg Ribatt - Chief Executive Officer & Director: Yep.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. And then any updates on the retail door footprint objectives for the year? Any change to the total number of doors you expect? I think you'd previously thought you'd see it about flat year-on-year.
Gregg Ribatt - Chief Executive Officer & Director: Yeah, I think as we indicated in Q1, we closed more stores than we opened, and our intention is to continue to manage the portfolio prudently. I mean, there are couple of places where we'll see some door expansion, which is in China with the stores that we are going to be opening and probably a slightly more assertive strategy relative to outlets in Asia. But we'll be up modestly on prior year-end store counts.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. Thanks. And then, Carrie on the SG&A, I think you mentioned $510 million. If I'm not mistaken, that's a slightly lower number than you'd guided previously. Are you finding additional opportunity for SG&A savings?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. Actually, yeah, we continue to look for opportunity to take out cost where we can. So, the $510 million – that approximate number is reflective of what we believe SG&A will be for the year.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Very good. I'll leave it at that. Thanks.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thanks.
Andrew Rees - President and Principal Executive Officer: Thank you.
Gregg Ribatt - Chief Executive Officer & Director: Thanks, Jim.
Operator: Thank you. And our next question comes from Mitch Kummetz from B. Riley.
Mitch Kummetz - B. Riley & Co. LLC: Yeah. Thanks. Thanks for taking my questions and let me add my congratulations. So, Gregg, obviously better execution in the quarter, is there any way, any metrics that you can quantify that? I don't if it's, if you could speak to fill rates this year versus last year or maybe there is a better metric to use to -- for us to get our arms around how much improvement you actually experienced?
Gregg Ribatt - Chief Executive Officer & Director: Yeah. Thanks, Mitch. You know that we spent a lot of time, I think, in the second half of the year talking about a series of initiatives that we had put in place kind of addressing deliveries. As you know, deliveries historically was a challenge for Crocs. And the initiatives range from reducing our number of SKUs to implementing kind of a global approach to product lifecycle management, gaining global alignment from our product range, where we made big impact, but it also came down to evolving business processes, leveraging SAP, and just building, leveraging a stronger global operations team. And I think, what we had communicated to our customers was the objective of delivering, what we call, industry standards and while we don't kind of share a specific metric, we also say that it might take us a little bit of time to get there. And, what we are proud about or what we're excited about is that we, certainly, in the first quarter and feel we're in a place to continue doing this, we are at or above industry standards at this point and delivering kind of high levels of service and feel, we're in a really good place with both our approach to this area and our execution at this point.
Mitch Kummetz - B. Riley & Co. LLC: And then, how do you think about consumer demand for your product based on better execution. I would think that from one standpoint, better opportunity for replenishment orders throughout the season, but then I'm also curious if you think there are some sorts of pull forward in demand. There was obviously some pull forward in terms of wholesale deliveries, but I'm wondering how you think about like demand going into the second quarter, given that you've got more product out early?
Andrew Rees - President and Principal Executive Officer: Yeah. So, there's couple of things, there Mitch, one is look, we were able to deliver earlier as you can see in our wholesale numbers, which we think was a positive, and that was probably more in line when – where the retailers wanted it versus where we delivered it last year. So we weren't forcing it in earlier. As we look at sell-throughs on that merchandise, we have high levels of merchandise at retail and our wholesale channel. It's selling through at higher rates than it did last year, and we monitor that. So, that's positive. We talked about in Q1 about at once being up 20% and we anticipate at once being continuing to grow as we got through the season. And probably the purest view of brand health if you like, is DTC where obviously the assortment is 100% Crocs, and I think positive comps across the globe gives us real confidence in the product line.
Mitch Kummetz - B. Riley & Co. LLC: Okay. And then Carrie, could you give us an update on the impact of FX on the year, if I'd recall correctly, I think off of the last earnings call, you talked about FX being, I think, a 3% drag on revenues, and I think 100 basis points of the headwind on operating margin, are those targets still kind of imply or has that changed at all?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah, so maybe it's better if I take a step back and take it back to the guidance we provided back in September was – for revenue growth in the middle single-digit range and EBIT margins in the mid-single digit range. So, the thing to think about is based on our Q1 results and the recent changes, we've seen in foreign exchange, we're still projecting to be in-line with that initial guidance range for 2016. The rates today are essentially the same as when we originally guided last September. We've seen some movement, obviously Q1, it moved against us. We've seen it comeback, but we continue to hold that overall guidance.
Mitch Kummetz - B. Riley & Co. LLC: And based on where...
Carrie W. Teffner - Executive VP, Chief Financial Officer: The currency...
Mitch Kummetz - B. Riley & Co. LLC: Go ahead.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. Go ahead.
Mitch Kummetz - B. Riley & Co. LLC: No, I was going to say based on where FX rates are today, when do you think that that gross margin could actually inflect toward FX is no longer a drag on gross margin and might actually be able to help gross margin?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. The currency impact we're seeing is mostly in the front half of this year, and we will start to be able to benefit more from that leveling off in the back half, so that's when we start to expect to see some of that improvement.
Mitch Kummetz - B. Riley & Co. LLC: Okay. All right, thanks, good luck.
Andrew Rees - President and Principal Executive Officer: Thank you.
Gregg Ribatt - Chief Executive Officer & Director: Thanks, Mitch.
Operator: Thank you. And our next question comes from Taposh Bari from Goldman Sachs.
Chad Sutherland - Goldman Sachs & Co.: Good morning, it's Chad on for Taposh. Congratulations on a nice quarter.
Gregg Ribatt - Chief Executive Officer & Director: Thank you.
Chad Sutherland - Goldman Sachs & Co.: Just wanted to drill down a little bit into the comp performance. Can you provide any color on the comp breakdown by channeling the outlets versus small locations, et cetera?
Gregg Ribatt - Chief Executive Officer & Director: Yeah. We don't – Chad, we don't provide that information. And so, what we try to do is share an overall view of the market and where we feel really positive about our first quarter results.
Andrew Rees - President and Principal Executive Officer: Clearly, we do breakout e-com versus retail and as you see e-com performance was very strong, retail was strong relative, but obviously that drives a weighted average of the comp is more towards e-com.
Chad Sutherland - Goldman Sachs & Co.: Understood. And then, just drilling down on e-com a little bit as well. I mean, it's pretty much the best 1Q in e-commerce on a dollar basis you guys have ever had, is that largely on the success of the January promotion? Or are there other factors that are influencing that?
Andrew Rees - President and Principal Executive Officer: Yeah. The e-com performance has been very strong for a number of quarters now, we've had strong double-digit growth across our e-com channel for a number of quarters. I think, the January promotion was strong and effective in terms of clearing our year-end inventory, and it was clearly the right thing to do. But you know I think, it's a longer-term trend that we're seeing.
Chad Sutherland - Goldman Sachs & Co.: Great. Thank you.
Brendon Frey - Managing Director, ICR LLC: Thank you.
Operator: Thank you. And our next question comes from Erinn Murphy from Piper Jaffray.
Christof R. Fischer - Piper Jaffray & Co. (Broker): Hey, good morning. This is Christof Fischer on for Erinn Murphy. So I was wondering how confident are you guys in the long-term revenue plan, given what we're hearing from retailers about the open to buy dollars in the space, especially as inventories managed a bit tighter, how you guys are expecting or how you guys navigating the landscape?
Gregg Ribatt - Chief Executive Officer & Director: Yeah. Certainly, it's a challenging macroeconomic environment out there. Having said that, we continue to feel confident in our plan. We feel the first quarter basically is a strong start to the year, a good indicator in terms of the strategic direction that we're heading. Yeah. We're seeing retailers being more conservative with their open to buy dollars, given the challenging environment, but we think a combination of our strong deliveries and the solid early performance both on our Classic core product and a new product introduction sets us well for 2016 and beyond.
Christof R. Fischer - Piper Jaffray & Co. (Broker): Okay. Great. Thanks. And then just second question in terms of kind of the new product. So may be compare and contrast on any type of consumer response you guys have gotten in terms of being it in the wholesale channel or a retail channel, if there's any differences there? Thanks.
Gregg Ribatt - Chief Executive Officer & Director: Yeah, I mean. I think there're a few things we're seeing on new product, Christof. As we look at Q1, 40% of our sales were on NPI product, about 60% of our spring/summer 2016 line is new, so a significant renovation on the line, that's been delivering during the Q, and we've generated about 40% of our sales on that new product. Obviously – and as we monitor sell-throughs, both in our own stores and in wholesale we're seeing, as we talked about a couple times, we're seeing some very focused areas, checking well (42:59) number one and most importantly from a sales and margin perspective is our core clog range both the Classic and the Crocband, which are Evergreen Styles, as well as made for her, Freestyle, made for him, Duet Max, those have been performing really well, so what we've talked about is doing extremely well at DTC and wholesale, and Isabella is a new sandal product is delivering now.
Christof R. Fischer - Piper Jaffray & Co. (Broker): Okay. Great. Thank you very much.
Gregg Ribatt - Chief Executive Officer & Director: Thank you.
Operator: Thank you. And our next question comes from Jonathan Komp from Robert W. Baird.
Jonathan R. Komp - Robert W. Baird & Co., Inc. (Broker): Yeah. Hi, thank you. I want to ask first about the Americas comps. First maybe just on the retail side, I'm wondering if you saw any less pressure from some of the tourist markets, and then also looking ahead, any thoughts on the expectations for the year just directionally, it looks like the store comps get a little less easier than comparing and certainly, the Internet comps get more difficult starting in the second quarter. So any thoughts directionally if you expect kind of the growth rates to moderate or not?
Andrew Rees - President and Principal Executive Officer: I think the – so the number of things in that. Firstly, the tourist market, we continue to see a significant pressure in the tourist markets, but traffic is down considerably. And as a reminder, those are Orlando, Hawaii, and parts of the West Coast where you've got tourists from variety of regions coming in and you've clearly seen those tourist counts down. Secondly, I think if you look at kind of overall traffic. Frankly, overall traffic at retail has been down, and our traffic has been down, we monitor that on a daily basis but our comps have been despite that, they've been driven by conversion and units per transaction. As you indicate, look the comparatives changed a little bit primarily for e-commerce as we go through the year, but today in Americas in particular, lapping some strong performance from e-com we're continuing to see a healthy comps relative to strong performance outlined.
Jonathan R. Komp - Robert W. Baird & Co., Inc. (Broker): Okay. Great. And then, maybe a couple of questions on the outlook. First, just on the revenue side, I think previously maybe directionally it was talked about a little higher revenue growth in the second half of the year, now it sounds like maybe kind of mid-single digit growth, both the first half and the second half to get to the full year guide. Any thoughts and kind of directionally any changes first half versus second half? And then, as you look in the second half how much of the growth is driven by the improvement in China versus any moderation in other places of the business?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Right. I think if you look at the full year guidance, you're right, mid-single digits in the – first half as compared to the second half, I'd just say, it's nuanced a bit but the second half does grow a little bit faster than the first half. And then, what's driving that growth, certainly we're lapping a challenging back – an easier back half last year primarily because of the delivery issues that we had in the back half. That combined with new product coming to markets, combined with the easing of the FX pressures are what give us confidence. And then, we've assumed all along with respect to our overall guidance that we would return China to growth in the back half. So that's not a change in terms of our assumptions.
Jonathan R. Komp - Robert W. Baird & Co., Inc. (Broker): Great. And maybe one more just, similar type of question, but on the gross margin, a lot of year-over-year noise. So, maybe looking sequentially second half compared to the first half gross margin. It looks like, historically, the second half gross margin is maybe 400 basis points below the first half, if I look kind of longer-term average this year, it sounds like the gross margin in the second half may be only slightly below the first half on a sequential basis. So, any change in that normal cadence second half versus the first half gross margin or any perspective there?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. I think, that's a fair assessment, what you outlined, as we look at why that would be in the second half, again, go back to less FX headwind factored into our cost to goods sold in the back half, less EOL product that we are lapping, the sales of last year, specifically in Q4. And then, going back to the fundamental things that we've done from a process different than in the past is the design to cost and the product lifecycle management activities that we're performing. So, as Gregg mentioned earlier, the increased overlap in terms of products globally, the reduction of SKUs across the line, as we move to the more overlap across regions, those are the things that are going to help overall from a gross margin standpoint at the back half.
Gregg Ribatt - Chief Executive Officer & Director: Yeah. And as we've said, with each season, we get to make a larger and larger impact on the business and you start to see some of those benefits coming to light in the second half of the year.
Jonathan R. Komp - Robert W. Baird & Co., Inc. (Broker): Okay. Great. Thanks for the perspective.
Gregg Ribatt - Chief Executive Officer & Director: Thank you.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Sure.
Operator: Thank you. And our next question comes from Jim Chartier from Monness, Crespi, and Hardt.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Hi, congratulations on a nice quarter. In the past, you guys have talked about constant currency gross margin. I'm not sure if I missed that this morning, but can you just tell us how the gross margin performed in constant currency first quarter?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. So, currency had 106 basis points impact on gross margin for Q1.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Okay. And then, the 20% increase in replenishment orders, is that, how is that relative kind of to your expectations? Did any of those shipped in first quarter or is there more shipping in second quarter and third quarter?
Gregg Ribatt - Chief Executive Officer & Director: So, the 20% increase in at-once business was in Q1, so that was our Q1 performance. I would say that was probably at or slightly above our expectations. Obviously, Q2 is a bigger at-once quarter, the balance of the business ships more towards at-once, but we are – we feel good about where we are at year-to-date.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Great. And then, can you give us an idea of how much of a drag China is going to be on the first half of 2016? And then, what kind of benefit you're embedding in your guidance for this second half of 2016?
Carrie W. Teffner - Executive VP, Chief Financial Officer: Yeah. So, we're not calling out the overall impact from China specifically. That impact is baked into our overall guidance for Q2 with the $340 million to $350 million. And again, into the back half, it's returning that country to growth.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Okay. And then finally, it seems like the availability of some of the new products, at your wholesale customers earlier in the season is kind of hard to find. Other than the Isabella, anything else kind of shipping later or hitting kind of your wholesale accounts later than retail? And how do you feel about kind of the wholesalers' response to the new products?
Gregg Ribatt - Chief Executive Officer & Director: Yeah. Thanks. A lot of that shipping did happen at the very end of the quarter. So, that gets released through late April into early May. And the retail response continues to be really positive. And the feedback has been strong and Andrew called out a few examples of that from updates to core clog to Swiftwater, Isabella. We feel really good about, kind of the new product introductions we've made this year and directionally, what they're telling us in terms of the broader strategic objectives for the brand and for the company going forward.
Jim A. Chartier - Monness, Crespi, Hardt & Co., Inc.: Great. Thanks and best of luck.
Gregg Ribatt - Chief Executive Officer & Director: Thank you.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Thank you.
Andrew Rees - President and Principal Executive Officer: Thanks.
Operator: Thank you. And we have Scott Krasik, with an additional question.
Scott D. Krasik - The Buckingham Research Group, Inc.: Thanks. So, three quick follow-ups. Just number one, can you give us some clarity on how the comp trends are performing in 2Q quarter to date? Are they supportive of the outlook? Number two, roughly what percentage of your sales in 1Q are at once versus 2Q? And then three, you didn't buyback any stock, you've obviously bought back stock at much higher levels, I assume most of your cash is probably overseas at this point. Is that because you don't want to take on debt to do it or what's the thought process around buybacks? Thanks.
Gregg Ribatt - Chief Executive Officer & Director: Great, Scott. So let me start and then I'll hand it over to Carrie. So in terms of in season comps, we don't disclose those, as you know. We feel great about our Q1 performance, but we don't disclose in-season comp or in-quarter comps. In terms of percentage of business that is Q2 is a much bigger at once business here in the U.S., but also in Asia and we're tracking closely to what we've embedded in our guidance in terms of at once shipments.
Carrie W. Teffner - Executive VP, Chief Financial Officer: Right. And then Scott, you are absolutely right, this is – Q1 is our peak working capital quarter and the majority of our cash is in international locations. As we called out in the prepared remarks, we were in our credit facility in the quarter. And we chose to be conservative relative to U.S. liquidity and not buyback stock at this time. That said, we continue to be confident in the performance and the direction that we're heading, and we'll continue to maintain a methodical approach and disciplined approach to share repurchases going forward.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Thanks.
Operator: Thank you. And this concludes the question-and-answer session. I will now turn the call over to Mr. Ribatt for closing comments.
Gregg Ribatt - Chief Executive Officer & Director: Thanks everyone, and have a great day.